Operator: Good morning, and welcome to Veritiv Corporation's First Quarter 2022 Financial Results Conference Call. As a reminder, today's call is being recorded. [Operator Instructions] At this time, I would like to turn the call over to Scott Palfreeman, Vice President of Finance and Investor Relations. Mr. Palfreeman, you may begin.
Scott Palfreeman: Thank you, Vic, and good morning, everyone. I'm joined on today's call by our CEO, Sal Abbate; and our CFO, Steve Smith. After my remarks, Sal will share an update on first quarter business performance followed by Steve, who will provide more details on our financials. After Steve's comments, Sal will conclude by providing a brief strategic update and revised outlook. We will then open the call for your questions. Before we begin, please note that some of the statements made in today's presentation regarding the intentions, beliefs, expectations and/or predictions of the future are forward-looking. Actual results could differ in a material manner. Additional information that could cause results to differ from those in the forward-looking statements is contained in the company's SEC filings. This includes the risks and other factors described in our 2021 Form 10-K and the company's other publicly available reports and exhibits filed with the SEC. Today's call and presentation slides will contain non-GAAP financial measures. The reconciliation of these non-GAAP measures to comparable U.S. GAAP measures are included at the end of the presentation slides and can also be found in the Investor Relations section of our website. At this time, I will turn the call over to Sal.
Sal Abbate: Thanks, Scott, and good morning, everyone. This morning, we reported record results across almost all of our key financial metrics for any quarter in Veritiv history despite the first quarter typically being our weakest quarter of the year due to the seasonality of our business. Our commercial effectiveness continued to drive sales and margin improvement and strong revenue performance in all our business segments contributed to these results in the first quarter. The combination of our industry-leading supply chain network and strategic partnerships with world-class suppliers allowed us to navigate the ongoing supply chain challenges in the broader market and mitigate some of the inflationary impacts to our customers. As a result of our commercial and supply chain efforts, we reported double-digit revenue growth and above-market organic volume growth in all of our segments and further established our position as the leading provider of business-to-business Packaging solutions. Net income in the first quarter was $79 million or nearly 4x what we reported in first quarter 2021 and diluted earnings per share were $5.12 compared to $1.28 in first quarter 2021. Our net income and diluted earnings per share results in the first quarter were all-time records for any quarter in company history. First quarter adjusted EBITDA was $120 million or double the performance from the prior year period. Adjusted EBITDA margin in the first quarter was 6.4%, which marks the ninth consecutive quarter of year-over-year improvement in adjusted EBITDA margin. This trend of delivering consecutive record financial metrics demonstrates the sustainability of our performance. Our earnings in the first quarter and consistent improvements over the last two years are a direct result of disciplined execution against our strategic initiatives to improve the efficiency of our operations and how we support the needs of our customers. Our commercial initiatives continued to drive value through effective cost and price management in a highly volatile environment. These industry-leading system and process-related improvements enable the recovery and long-term sustainability of margins. In the first quarter, supplier-driven price increases continued to be the most significant driver of inflation across our business, particularly within our Print and Packaging segments. While product demand from our customers continues to outpace supply across most product categories, additional inflationary factors are contributing to systemic cost increases driven by higher wages, fuel and other supply chain costs. We continue to work closely with our suppliers and customers to ensure timely pass-through of the historic level of product cost increases that we and our customers have experienced. Our own delivery fleet and coast-to-coast network of warehouses continue to provide a competitive advantage and help to organically grow our market share. We continue to strategically leverage our size and scale to efficiently navigate the constrained supply chain environment and support the needs of both our suppliers and customers. Supplier lead times remain elevated well above historical levels. As a result, we maintained strategic inventory positions where possible to minimize the effects of extended lead times on our customers. Shifting now to an update on our Packaging business. We reported just over $1 billion in Packaging revenue in the first quarter which was a record high for this typically seasonally low quarter. Packaging revenue increased 17% in the first quarter of 2022, driven by a combination of supplier cost pass-through and above-market volume growth. We saw elevated year-over-year volume growth in our retail and logistics customer sectors as consumer demand continued to outpace supply across several product categories. Our comprehensive spectrum of Packaging products and supply chain solutions provided a differentiated level of inventory to our diverse customer base that spans from small businesses to more than half of the Fortune 500. We reported packaging adjusted EBITDA of nearly $100 million in the first quarter, a 25% increase compared to prior year. Our ongoing commercial initiatives drove a record first quarter adjusted EBITDA margin of 9.7% in our Packaging segment. The first quarter now marks our 12th straight quarter of year-over-year improvement in packaging adjusted EBITDA margin and illustrates our commitment to long-term and sustained improvements in both our packaging earnings growth and profitability. As we look ahead to the long-term needs of our print and publishing customers, we have decided to combine these two segments into one. The newly combined segment is called Print Solutions. This change provides additional flexibility in how we service our customers and aligns internal expertise across businesses that operate in complementary and adjacent industries. These businesses have served an important role in our portfolio over the years despite the headwinds of operating in an industry that has been in secular decline for more than a decade. We have fundamentally changed the business model to reflect the new realities of this industry. These businesses have made proactive and dramatic improvements to profitability, working capital and the quality of their balance sheet while also providing a significant source of free cash flow. Even in times of great performance and favorable market conditions, we continue to make the segment more efficient. For the first quarter of 2022, our newly combined Print Solutions segment generated both record adjusted EBITDA of $55 million and record adjusted EBITDA margin of 9.2%. We are very pleased with the first quarter results of our Print Solutions segment, and we'll continue to evolve the business to align with the needs of the industry. I'll now turn it over to Steve to provide more details on our financial performance. Steve?
Stephen Smith: Thank you, Sal, and good morning, everyone. Today, I will provide more details on our segment's results in the first quarter as well as other updates related to the balance sheet and capital priorities. As I go through the results, note that our first quarter had the same number of selling days as last year's first quarter. Moving now to our segment results. Revenue in our Packaging segment increased 17.4% compared to prior year due to an increase in both volume and price. Year-over-year volume growth in the first quarter of 2022 was slightly better than fourth quarter 2021. We experienced double-digit revenue growth across all product categories and customer sectors with elevated volume growth in our retail and logistics customer sectors. The combination of strong revenue growth and commercial and operational improvements drove first quarter adjusted EBITDA of $97.4 million, an improvement of $19 million or 25% above prior year. Packaging adjusted EBITDA margin was 9.7%, a record high for the first quarter and 60 basis points higher than prior year. Moving now to Facility Solutions. Our Facility Solutions segment showed signs of recovery in the first quarter as away-from-home activity resumed across the broader marketplace. Facility Solutions revenue in the first quarter increased 11.3%, primarily due to higher volume. As part of the volume improvement was driven by refill activity with large entertainment and hospitality venues. Strong volume growth from our traditional away-from-home product categories fully offset lower sales from COVID-related products like PPE and hand sanitizers. Adjusted EBITDA for Facility Solutions was $13.4 million in the first quarter or 16.5% above prior year. Facility Solutions segment adjusted EBITDA margin was 5.8% or 20 basis points above prior year. Efforts to align our products and capabilities with targeted customer sectors has driven sustained adjusted EBITDA margin improvements above pre-COVID levels despite the return to our historical mix of products for the segment. Shifting to our newly combined Print Solutions segment, First quarter revenue for Print Solutions increased 26.6% compared to prior year due to both industry-wide price increases and volume growth. After removing the impact of the roll source divestiture on the prior year, organic daily sales increased 30.4%, which we believe is better than the market. A portion of the year-over-year improvement was due to lower prior year comparisons. Our Print Solutions segment generated $54.6 million of adjusted EBITDA in the first quarter compared to $17.4 million in the first quarter 2021. Adjusted EBITDA margin was 9.2% in the first quarter compared to 3.7% in the first quarter 2021. Domestic demand remained very strong in the first quarter and continued to outpace both domestic and international supply. Our scale and strong supplier relationships provided unique market advantages that led to further improvements in adjusted EBITDA margin for the segment. Moving now to cash flow. In the first quarter, we maintained certain investments in Packaging inventory to help mitigate some of the effects of extended supplier lead times and supply chain challenges on our customers. Those investments together with consolidated sales growth of approximately $300 million, led to a roughly $15 million net use of free cash flow in the first quarter. As we begin to lap the effect of price increases from the prior year, we expect the combination of higher earnings and lower working capital to generate approximately $250 million of free cash flow for full year 2022. Our net debt to adjusted EBITDA leverage ratio remained at a historically low 1.1x, well below our long-term target of 3x. Our record low net leverage continues to provide both financial and strategic optionality and development of capital and deployment of capital to support our long-term financial objectives and enhanced value to our shareholders. We continue to make investments in organic growth that leverage our size and scale to enhance the customer experience. We expect to spend approximately $30 million on capital projects this year. We also remain focused on inorganic growth opportunities that could provide synergistic value or build on our existing portfolio of products and capabilities. In March, we announced a $200 million share repurchase program and have repurchased approximately $53 million of our shares through May 6. I'll now turn the call back over to Sal to provide more details on our strategic priorities and outlook for this year. Sal?
Sal Abbate: Thanks, Steve. As we shift to the next phase of our multiyear strategy, we are optimistic about the quarters and years ahead. Our recent actions support our long-term goal to deliver above-market packaging growth and build further on recent adjusted EBITDA margin improvements. Last week, we completed the sale of our business in Canada. For the full year 2021, our Canadian business represented approximately 15% of our total employee base, 10% of total sales and less than 9% of our consolidated adjusted EBITDA. Our sales mix in Canada was also highly concentrated across lower-margin products and customer sectors and less than 20% of sales were in what we would consider core packaging product categories. This strategic divestiture aligns with other historical moves to shift our portfolio more fully towards higher growth and higher-margin businesses. The proceeds from the sale of Canada will be used to support our active $200 million share repurchase program and fund strategic capital priorities. We are committed to making investments in the business that will further differentiate us in the industry and drive above-market organic growth. We have made several system and process enhancements over the years that provide a more streamlined and consistent experience for our customers. We engaged leaders across the enterprise to identify opportunities to further improve the customer experience and overall satisfaction. We are now making additional investments in technology that will facilitate an end-to-end digital experience and will provide our customers with improved visibility and connectivity. As a result of these initiatives, we have established a robust process to identify, modify and monitor our performance to meet or exceed customer expectations throughout the full spectrum of customer interactions. We believe that the combination of our investments in technology and the strategic alignment of resources will improve the customer experience, customer retention rates and enable share of wallet gains. Our value-added service offerings continue to be an important driver of above-market growth. Approximately 50% of our packaging business is customized to meet the specific needs of our customers. Our industry-leading portfolio of services supported by product and sector-specific specialists are essential to ensure we remain aligned to the unique needs of our customers. We continue to make investments in these capabilities which we believe will expand our market share in higher growth and higher margin businesses. Providing a portfolio of products and solutions that support our customers' sustainability goals remains a key differentiator in our go-to-market offering. Our sustainability commitments were recently published in our 2021 corporate social responsibility report, which highlights the foundational work we completed last year to drive our own ESG initiatives and outlines our longer-term ESG goals. We also remain focused on inorganic growth opportunities that could build on our capabilities or drive synergistic value. With our active pipeline of scope and scale targets, we have established a prudent and disciplined approach to assess potential acquisitions. Our significant improvements in both earnings and net leverage provides additional optionality as we evaluate targets for strategic fit. We are resolute in our vision to further our position as the leading provider of business-to-business packaging solutions. Consistent and sustained improvements in earnings and margins over the last eight quarters illustrate our commitment to both commercial and operational excellence. Looking forward, we have identified additional initiatives that we believe will continue margin growth. Earlier this year, we launched a new round of initiatives as part of this next wave of commercial optimization to build on recent adjusted EBITDA margin improvements. These multiyear initiatives will drive the next level of cost and price discipline across our Packaging and Facility Solutions segments. I'd now like to share an updated outlook for the remainder of the year. For Packaging, customer demand continues to outpace supply and supplier-driven price increases have continued into the second quarter. In addition, market dynamics continued to be volatile. For example, the most recent corrugated market price increase went into effect just recently in the second quarter. Increases for other Packaging product categories have been implemented or announced for the second quarter and will drive continued growth in the second half of 2022 and have a carryover effect on sales into 2023. In Facility Solutions, demand has risen, which we believe is due to reopening momentum that is expected to further strengthen for the balance of this year. We've seen an accelerated return in large entertainment and hospitality customers trending toward pre-pandemic levels, which in turn will deliver an increased replenishment cycle. Supplier driven price increases continued in our Facility Solutions segment as well but to a lesser degree than our Packaging and Print Solutions segments. For Print Solutions, domestic demand remains very strong and continues to considerably outpace domestic and international supply. We believe demand will help sustain at least this level of revenue for the balance of the year, but revenue improvement will depend largely on product availability. As a result, price and margin improvements are now expected to carry into 2023. We expect our above-market volume performance to continue due to scale advantages and strategic supplier relationships. This combination of strong revenue growth as well as commercial and operational initiatives are now expected to drive adjusted EBITDA margins at or above prior year levels in each of our segments for the remaining quarters of the year. Given the strong financial performance so far this year and favorable outlook for the remainder of the year, we now expect full year 2022 net income to be in the range of $270 million to $305 million. We estimate diluted earnings per share for 2022 to be in the range of $18 to $21 based on approximately 14.7 million fully diluted shares. Adjusted EBITDA for 2022 is now expected to be in the range of $445 million to $485 million, and free cash flow is expected to be approximately $250 million with capital expenditures estimated to be approximately $30 million. We are pleased with our first quarter results and look forward to seeing the long-term benefits from our next wave of initiatives. This concludes our prepared remarks. Vic, we will now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of John Babcock. Your line is open.
John Babcock: Good morning, and thanks for taking my questions. I guess the first question I had, I just want to better understand the primary drivers of the year-over-year improvement in earnings. If you could break it down by price, volume and some of your internal initiatives, that would be helpful.
Sal Abbate: Sure, John. This is Sal. And I'll start the question, and Steve, as usual, can build on it. For the total company, specific to price and volume, it was 25 -- roughly 25% volume and -- I'm sorry, yes, 25% volume and 75% price. So about 1/4 volume and 3/4 price. It differed a little bit by segment. So we did see actually enhanced volume in our Facility Solutions business. That was more like 80-20 actually volume to price. And in terms of the EBITDA margin growth, it really is a continued function of our cost and price discipline that we've alluded to over the last, say, six to eight quarters. And so those efforts really started back in '19 and '20. And now we're kind of reaping the residual benefits from that quarter-over-quarter, and we're also seeing sort of the lapping of the 2021 price increases that were prevalent throughout the year. And so this first half, at least this first quarter is really seeing the inflationary cost of goods sold increases we incurred last year carry over into 2022.
Stephen Smith: Yes. Sal. And adding to that, John, the gross profit driven by the components of revenue of both volume and price drove almost all of the improvement over the prior year. The other incremental benefits included some storage savings. As you know, John, we reduced our footprint meaningfully and continue to do so, and that contributed in our operating expense reductions. And then we also had some lower bad debt expense over the prior year through good work of many employees. We reduced our bad debt to nearly 0. So the combination of gross profit dollars, supply expense reduction, particularly storage and bad debt expense. Those all contributed to our performance quarter-over-quarter.
John Babcock: All right. That's helpful. And then just as it pertains to the price component, how should we go about that, especially as we start to lap the price increases, say, all of a sudden we get into an environment where pricing is more stable. Does -- what effect does that have on margins and/or your ability to capture additional EBITDA?
Sal Abbate: So John, in the guidance that we provided, we're really only baking in the announced price increases to date and this last one that actually in corrugated any way that happened in the early part of the second quarter. So our guidance reflects only the known items for today. Looking forward, and we really do believe that there's probably more price increase probability, then decreased probability for the balance of the year. We're not quite ready to give guidance on 2023. But as I look out through the balance of 2022, we feel like price increase is probably higher likely of an outcome than a decrease. In a decreasing market, obviously, we will negotiate with our suppliers and make sure that we can pass along what's appropriate to the market, particularly in this hyper inflationary period. But we really do expect year-over-year improvements in adjusted EBITDA margin that we saw in the first quarter to remain the balance of the year.
John Babcock: Okay. That's helpful. And then out of curiosity, you talked a bit about your distribution footprint, particularly as it pertains to Print Solutions. I was wondering just overall across the entire company, I mean how happy are you with your current distribution setup. And does it make sense to expand into any geographic markets at this point in time to drive organic growth? Or is that not necessarily an opportunity that really exists?
Sal Abbate: No, John, thanks for the question. I think if you think about our '22 restructuring plan, we rebalanced our footprint based on what we thought our next 3- to 5-year capabilities would need. And so we're -- I think we're pleased with where we are right now. There's a few other residual, I think, outcomes from that restructuring plan from a footprint perspective, but we did exit roughly 30 facilities and 30 offices from that restructuring plan and believed it was the right footprint for what we're experiencing now. We are covering every major market and most frankly, minor markets in the U.S. But we are absolutely open to the possibility of growing in other markets if we need to. So whether it's through expansion, we often look for ways to expand our footprint in a market if we acquire a large piece of business or we have a co-packing kitting opportunity. And so we're very flexible with respect to how we think about our footprint and how fungible it needs to be.
Stephen Smith: And John, I'll just add the flip side of that, as you've read and Sal commented in his script that we, the company took an action to shrink our geographic footprint in Canada in the quarter. Because that particular business unit didn't have the kinds of ROIC that we as a company demand of our businesses. And the lack of concentration geographically of customers and the length of distribution routes that we had, including the inventory carry we had in some remote locations didn't lend itself to a productive business model from our perspective. And so as we look at those opportunities in the U.S., we do as Sal said, which is we look closely at the opportunities, but we cover most markets.
John Babcock: Okay. And the next -- that's kind of one question. I was just wondering if you might be able to talk about the demand -- level of demand that you're seeing across the different packaging substrates that you have? And if there are any indications of a slowdown in that category would be helpful. So just broader commentary there would be useful.
Sal Abbate: Sure, John. If I think about -- I'll maybe address our end-use sectors first. And I would tell you, in the first quarter, we saw double-digit revenue growth across every end-use sector that we track. And so heavy manufacturing, light manufacturing, food and beverage, wholesale, retail, they were all up, frankly, relatively similarly across our geographies, consumer electronics, specialty retail, at-home fulfillment services, all really strong from an end-use sector perspective. And similarly, by product category, we did see double-digit growth across every product category. And so as I think about the question around what does the rest of the year look like, we don't see a lot of -- we don't see any slowdown, frankly, into the second quarter, and our demand rates remain high across all those end-use sectors and our core product categories. And that really is what is reflected in our strong guidance for the balance of the year. As we've mentioned maybe on the last call, John, we really think that the supply-demand imbalance is going to continue. And so there's still a pretty healthy backlog, both at our suppliers and within Veritiv in the Packaging business and certainly in the Print segment as well. And so you've got the kind of the flushing through of the backlog in combination with continued strong demand. And so we believe that the balance of the year should see continued growth.
Operator: [Operator Instructions] Presenters, there are no further questions over the phone. I will now turn the call over back to Mr. Sal Abbate.
Sal Abbate: Great. Thank you, Vic. Well, we are pleased with our start to the year and believe we are well positioned to deliver strong performance for the remainder of 2022. I want to thank all of the women and men at Veritiv for their hard work and dedication in making these continued exceptional results possible. Thanks to all of you again for joining us this morning, and we look forward to speaking with you again soon when we announce our second quarter results in August. Thank you.
Operator: This concludes today's conference call. You may now disconnect.